Operator: Good morning, and welcome to Nexa Resources' fourth quarter and full year 2024 conference call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist. This event is being recorded and is also being broadcast via webcast and may be accessed through NexSys Investor Relations website where the presentation is also available. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one. To withdraw your question, remember that the participants of the webcast will be able to register via website question. Simply type your questions in the box and click send, and that will be answered soon. I would now like to turn the conference over to Mr. Rodrigo Cammarosano, Head of Investor Relations, for opening remarks. Please go ahead.
Rodrigo Cammarosano: Good morning, everyone, and welcome to Nexa Resources' fourth quarter and full year 2024 earnings conference call. Thank you for joining us today. During this call, we will discuss the company's performance as outlined in our earnings release issued yesterday. We encourage you to follow along with this on-screen presentation through the webcast. Before we begin, I would like to draw your attention to slide number two, where we will outline our forward-looking statements about our business. Please refer to the disclaimer regarding these statements and their associated conditions. Now it is my pleasure to introduce our speakers. Joining us today is our CEO, Ignacio Rosado, our CFO, Jose Carlos Del Valle, and our Senior Vice President of Mining Operations, Leonardo Duque. With that, I will turn the call over to Ignacio for his comments. Ignacio, please go ahead.
Ignacio Rosado: Thank you, Rodrigo, and good morning, everyone. Thank you for joining us today as we review our fourth quarter and full year 2024 results. Let's move to slide number three, where we highlight our main achievements for the year. As we close out 2024, we are very pleased with our performance. We achieved the second highest adjusted EBITDA in our history and for the first time since initiating the investment cycle in Aripuanã, generated positive consolidated cash flow. Our financial position also improved with a notable increase in our cash balance, a reduction in the gross debt, and an improvement in our net leverage ratio from 2.2 times in the third quarter to 1.7 times. In the fourth quarter, adjusted EBITDA reached $197 million, a 79% increase from the $110 million reported in the same period last year. For the full year, adjusted EBITDA totaled $714 million. This strong performance was driven by several key factors, including higher by-product contribution, increased zinc prices, lower environmental liabilities, and foreign exchange gains. On the operational front, we continue to make steady progress, meeting our 2024 production and cost guidance, while accelerating both revenue. Total consolidated net revenues for the fourth quarter reached $741 million, up 18% compared to the fourth quarter of last year and a 4% increase compared to the third quarter of this year. In terms of mining production, zinc output decreased by 11% quarter over quarter, while lead and silver production increased by 2% and 1% respectively, driven by higher grades. Copper production saw a slight decrease compared to the previous quarter, but was in line with our mine sequencing plan. I will share more details shortly, but I would like to highlight that the operation made a fully positive contribution to our adjusted EBITDA in 2024. Aripuanã has been a very challenging project to build. And as previously mentioned, we approved a purchase of a fourth tailings filter, which will enhance utilization capacity given that the three filters in place have limited capacity and present operational issues. With this fourth filter, the plant will achieve its maximum capacity. In terms of zinc metal and oxide sales, we saw a minor 1% dip quarter over quarter, though sales increased by 6% year over year. Throughout 2024, we made significant progress in optimizing our portfolio and successfully executing strategic divestments, including the sale of the Morro Agudo complex, Pucacaca project, and our non-operational Chapi mine in Peru. These divestments allow us to concentrate on our high-return assets. In line with this strategy, I am proud to announce that the first phase of the Cerro Pasco integration project has been officially approved. This phase includes the implementation of tailings pumping and piping systems and represents an important milestone extending the life of this mining complex. I will provide more details later in this presentation. Now let's move to slide number four to discuss our operating performance. Turning to the operating performance of our mining segment, zinc production in the fourth quarter of 2024 reached 74,000 tons, down 19% compared to the fourth quarter of last year. This decrease was primarily driven by lower output at Cerro Lindo as well as the absence of contributions from Morro Agudo. These impacts were partially offset by higher production volumes from Aripuanã and Atacocha. Compared to the third quarter of 2024, zinc production decreased by 11% mainly due to lower volumes at Cerro Lindo, Vazante, and Atacocha. However, this was partially offset by increased output from Aripuanã. Zinc production was 2% lower compared to the full year of 2023. In terms of our guidance, we met our annual production guidance for zinc, lead, and silver, while copper production exceeded the upper range of our guidance. Looking at the cash cost in the fourth quarter, our mining cash cost significantly dropped to $0.00 per pound compared to $0.44 per pound in the same period last year. This sharp reduction was mainly driven by higher by-product contribution, lower treatment charges, and reduced operational costs, partially offset by lower zinc volumes in the period. Compared to the third quarter, mining cash cost slightly increased by $0.01 per pound due to lower zinc volumes, which was partially offset by higher by-product contribution, particularly at Cerro Lindo, due to stronger LME price and lower operational costs. For the full year, our cash costs remain in line with our updated 2024 guidance, which we revised down by 64% in October 2024. These results reflect our disciplined cost control measures, operational improvements, consistent execution of our mining plans, and foreign exchange gains, particularly from our Brazilian operations. Our cost per run of mine in the quarter was $44 per ton, a 6% decrease year over year. This improvement was mainly due to lower maintenance and personnel expenses, reductions in energy, and material costs, along with foreign exchange gain. These benefits were partially offset by lower treated ore volumes following the cessation of mining operations at Morro Agudo. For the full year, cost per run of mine averaged $46 per ton, remaining within our guidance range. Now let's move to slide number five. Turning to our smelting segment, total sales in the fourth quarter reached 152,000 tons and increased by 6% year over year. This growth was primarily driven by higher production volumes at Cajamarquilla and a sales backlog from the third quarter, which resulted from demand adjustments in our domestic market. Compared to the previous quarter, total sales decreased by 1% mainly due to reduced production at Tres Marias, especially for zinc oxide due to lower demand. In 2024, total sales amounted to 591,000 tons in line with the mid-range of our annual guidance and relatively stable compared to 2023. Looking at costs, consolidated smelting cost in the quarter was $1.26 per pound, up from $1.00 per pound in the same period last year. This increase was mainly due to higher raw material costs, driven by increased zinc prices and lower TCs, as well as higher operating costs. These effects were partially offset by higher sales volume and favorable foreign exchange variations. Compared to the third quarter, cash cost increased by 8% mainly reflecting higher zinc prices, which impacted concentrate purchases and lower by-product contribution. However, these effects were partially offset by lower operational costs and foreign exchange gains. Our conversion cost for the fourth quarter was $0.30 per pound, compared to the $0.29 per pound in the fourth quarter of 2023. This slight increase was mainly due to higher variable cost, but partially offset by lower energy expenses at Cajamarquilla, favorable foreign exchange variations, and increased sales volume. Compared to the third quarter, conversion cost decreased by 6% driven by lower variable costs, including energy expenses and maintenance expenses, along with foreign exchange gains and lower third-party expenses. It is worth highlighting that both conversion cost of $0.30 per pound and cash cost of $1.15 per pound remain within our guidance range for the year. Now let's move to slide number six, where we will begin discussing Aripuanã. In the fourth quarter, Aripuanã reported higher production of zinc, lead, and silver compared to the third quarter of 2024, while copper production declined, driven by lower grades in the period. Adjusted EBITDA remained positive. Quality of concentrates remained stable within commercial specifications, while metallurgical recoveries performed close to or at target levels. Additionally, the talc-related challenges faced in the third quarter were effectively addressed. The feed rate remained stable, contributing to the overall performance. In November, we conducted a scheduled five-day maintenance shutdown to replace the mill lining. Additionally, above-average rainfall during the period led to an 8% reduction in treated ore volumes compared to the previous quarter. During the quarter, we also approved the acquisition of a fourth tailings filter, a critical step in enhancing our filtering capacity and supporting full production. As previously disclosed, this investment will significantly improve operational efficiency. We expect that filter to be delivered and installed in 2025 with commissioning planned for the first quarter of 2026. Looking at the full year 2024, Aripuanã significantly improved its performance. Annual zinc production increased by 43% compared to 2023, while copper rose by 24%, lead grew 106%, and silver production more than doubled, growing 114%. This performance is attributed to the commitment and hard work of our teams. Let's move to slide number seven to discuss the latest advancements in the Cerro Pasco integration. On this slide, I would like to highlight our progress with the Cerro Pasco integration project. As we have discussed in previous calls, this project has the potential to unlock substantial value for Nexa. During the quarter, we made important strides across multiple work fronts, including the approval of the tailings pumping system, a crucial step in enhancing operational efficiency. This phase involves the construction of a tailings treatment plant at El Porvenir and the building of a six-kilometer tailings pipeline to connect El Porvenir plants to the Atacocha tailings storage facilities. The detailed engineering has been completed, and construction is set to begin in the second quarter of 2025. Beyond the tailings pumping system, phase one includes investments to raise the Atacocha tailings, which is already underway, as well as future investments to increase Atacocha's tailings storage capacity. The ultimate goal of this phase is to significantly extend the operational capacity of the tailings storage facilities, ensuring the long-term sustainability of operations at the San Rafael complex. Meanwhile, studies of phase two, which includes the underground connection of the mines and the El Porvenir shaft upgrade, are progressing well. We expect these studies to be completed by the third quarter of 2025. Now moving to slide number eight. I will provide details on our exploration efforts. As explained in the previous slide, the strategic rationale of the Cerro Pasco project includes the importance of the tailings storage capacity, aiming to extend the asset's operational life significantly. The connection of the underground mines of Atacocha and El Porvenir, and the upgrade of the El Porvenir ore shaft. The execution of these milestones will unlock a substantial volume of high-quality mineral resources from the Atacocha underground mine, significantly enhancing the asset's flexibility, increasing its mineral base, and extending the life of the mine complex. Furthermore, our exploration focus remains steadfast on the integration target. This area boasts high geological potential and presents a promising and highly attractive upside for the project. We aim to unlock additional value and ensure long-term success for the Cerro Pasco complex. Now let's move to slide number nine. On this slide, I would like to emphasize the continued progress of our exploration program. Our 2024 plan has yielded positive results across both brownfield and greenfield activities. At Cerro Lindo, the exploration program remained focused on expanding known ore bodies southeast of Cerro Lindo, with drilling targeting the extensions of the mineralized zones in ore bodies 8B and 8C. In Aripuanã, efforts were concentrated on the Massaranduba target, aiming to identify new mineralized areas. In Vazante, the brownfield exploration program continues to focus on expanding the mineralized zones near the mine. Finally, at Cerro de Pasco, as mentioned before, the exploration program delivered notable results, particularly around the integration target. I will turn the call over to Jose Carlos Del Valle, our CFO, who will walk us through our financial results. Jose, please go ahead.
Jose Carlos Del Valle: Thank you, Ignacio. Good morning, everyone. I will now continue with slide number ten. Starting with the chart on the upper left, we can see that total consolidated revenues for the fourth quarter increased by 18% year over year. This was mainly driven by higher metal prices, except for lead, and higher smelting sales volumes. These gains were partially offset by lower net premiums. Compared to the third quarter of 2024, net revenues grew by 4% supported by higher zinc, silver, and gold prices. For the full year 2024, consolidated net revenues reached $2,766 million, an 8% increase compared to 2023. This growth was mainly driven by favorable metal prices, higher copper and lead sales, and higher silver and gold payable from our mining operation. Moving on to profitability, our consolidated adjusted EBITDA for the fourth quarter reached $197 million, reflecting a strong 79% increase year over year. This performance was primarily driven by higher by-product contribution, increased metal sales volume, higher zinc prices, and foreign exchange gains. Compared to the third quarter of 2024, adjusted EBITDA also grew by 8%, as the impact of higher zinc prices was partially offset by higher variable costs. For the full year 2024, consolidated adjusted EBITDA totaled $704 million, a significant 76% increase compared to 2023, making it the second highest annual adjusted EBITDA in Nexa's history. This was mainly supported by favorable metal prices, foreign exchange benefit, higher by-product contribution, and ongoing improvements in both operational and financial management. Finally, it is worth noting that our consolidated adjusted EBITDA margin reached 26% in 2024, ten percentage points better than in the previous year. Now let's move on to slide number eleven. Looking at the top of our left slide, we can see that in 2024, we invested $277 million in CapEx, with nearly all of this amount directed towards sustaining activities, including mining development and tailing storage facilities. Our total CapEx investment for the year came in below our revised guidance from October 2024, which had already been adjusted downward by $11 million as part of our portfolio optimization efforts. With respect to mineral exploration and project evaluation, we invested a total of $64 million in 2024. Of this amount, $37 million was specifically allocated to mineral exploration and mine development, fully aligned with our annual plan to support ongoing exploration activities. Now let's move on to the next slide where I will discuss our cash flow generation for the quarter. Starting with our $714 million of adjusted EBITDA, net of non-operational items, we can see that Nexa generated a strong operating cash flow before working capital variations totaling $514 million for the year. From this amount, we paid $175 million in interest and taxes and invested $265 million in total CapEx across our operations. As part of our liability management strategy, loans and investments had a positive net impact of $98 million. This was mainly driven by our new bond offering, a debenture issuance, and the BNDES credit line, all executed in the second quarter of 2024. Included here is also a cash dividend received from Enercare. These cash inflows were partially offset by loans and financing, lease liability payment, and premium paid on our bond repurchase program, including cash tenders for a portion of our bonds maturing in 2027 and 2028. Additionally, we paid $60 million in contractual dividends to non-controlling interest. Another impact was related to foreign exchange variation, which had a negative effect of $11 million on our cash and cash equivalents, primarily due to the depreciation of the Brazilian real against the US dollar. Finally, working capital had a positive contribution of $18 million as our initiatives to optimize Nexa's working capital cycle throughout 2024 successfully reversed the negative impact seen in the first nine months of the year. Combining all these factors, our total free cash flow generation in 2024 reached $163 million. Now let's move to slide number thirteen. As you can see, our liquidity position and solid balance sheet strengthened during 2024, which allows us to continue to maintain and an improved and extended debt maturity profile. At the end of 2024, our available liquidity stood at approximately $960 million, including our undrawn $320 million sustainability-linked revolving credit facility. Looking at our debt profile, the average maturity in the fourth quarter of 2024 was 5.6 years with an average cost of debt of 6.4%. More importantly, as of December 31st, our total cash position was sufficient to cover all obligations maturing over the next five years. In terms of leverage, our net debt to adjusted EBITDA ratio significantly improved quarter over quarter and year over year, dropping from 2.2 and 3.3 times to 1.7 times, respectively. These improvements were primarily driven by higher adjusted EBITDA and by a reduction in net debt over the last twelve months. I want to emphasize that we continuously evaluate opportunities to further optimize our capital structure, diversify our funding sources, and strengthen our liquidity. As I have mentioned before, maintaining a debt maturity profile that is aligned with the long life of our assets while securing the most competitive financing costs is always a priority. In line with this, we always explore strategic initiatives to extend maturities, reduce the average cost of debt, and assess financing alternatives. The goal is to further enhance our financial position and long-term resilience. Moving now to slide fourteen. Regarding the zinc market fundamentals, it's important to note that in the fourth quarter, the LME zinc price averaged $3,050 per ton, a 22% increase year over year, and a 10% increase compared to the third quarter. Despite macroeconomic and geopolitical uncertainties, including concerns over US trade protectionism, potential tariff hikes, and risks of trade wars, zinc market fundamentals remain solid, providing positive support for prices. These fundamentals are driven by a still constrained concentrate supply, which led TCs to remain at very low levels throughout the second half of the year. As a result, global refined metal production decreased by 2% in 2024 compared to 2023, tightening inventory levels even further. Since the beginning of the fourth quarter, spot TCs in China have slowly started to recover, as illustrated in the lower part of the slide. However, they remain at historically low levels, continuing to pressure smelter margins due to higher raw material costs. Looking ahead, we believe these market conditions are unlikely to ease in the short term, leading us to expect continued price support for zinc. Moving now to slide number fifteen. During the last quarter, the LME copper price averaged $9,193 per ton, up 13% from the fourth quarter of 2023 but marginally down by 0.2% compared to the third quarter of 2024. Despite macroeconomic challenges, copper demand is expected to remain resilient in the short term, driven by strong activity across the energy, technology, and infrastructure sectors. As for silver, the LME price averaged $31 per ounce in the fourth quarter, up 35% year over year, and 7% quarter over quarter. Short-term fundamentals for silver are also positive, largely driven by concerns over future silver availability. Since the majority of silver is produced as a byproduct of other metals, the industry is dependent on new mine projects to come online. Nexa is a significant global silver producer, producing 12 million ounces in 2024. Looking ahead, copper and silver prices are likely to remain volatile as markets react to shifts in US trade policy and China's economic stimulus measures. Now I will hand the presentation back to Ignacio for his final remarks.
Ignacio Rosado: Thank you, Jose Carlos. As we conclude today's call, I want to highlight the recent adoption of our new dividend policy. This policy is designed to enhance transparency, provide consistent returns to shareholders, and maintain the financial flexibility needed to support our growth targets. In 2024, both Standard & Poor's and Fitch reaffirmed Nexa's investment-grade rating with a stable outlook. Additionally, last November, Standard & Poor's assigned Nexa Recursos Minerais, our Brazilian subsidiary, its first-ever rating, also investment-grade with a stable outlook. This rating underscores the expectation of resilient operations in Brazil in the coming years. Last week, Standard & Poor's conducted its annual review and once again reaffirmed Nexa's investment-grade rating, maintaining a stable outlook. This recognition highlights our commitment to the financial discipline of the company. I also want to emphasize that in 2025, safety will remain a top priority. We are fully committed to strengthening our safety culture and continuously improving our protocols to ensure our employees' well-being. 2024 was a year marked by resilience and innovation. And as we move into 2025, we expect revenue growth supported by positive contributions on pricing and volume expansion. Our disciplined approach to capital allocation remains unchanged. We will prioritize CapEx investments in enhancing production capacity, extending the life of our mines, and ensuring long-term sustainable growth. Before I close, I want to express my gratitude to our exceptional team of dedicated professionals and our shareholders for their trust and support. Thank you for your attention. We truly appreciate your engagement. And now look forward to your questions. Operator, please open the line for questions.
Operator: We will now begin the question-and-answer session. On your touch-tone phone, if you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then two. Webcast platform. The first question today comes from Camilla Barder with Bradesco. Please go ahead.
Camilla Barder: Hi, good morning. Thank you for the opportunity for making my questions. I have two questions. The first, just some follow-up on. You mentioned you I was just wondering if you can share any quantitative estimates on that? And on the tailing filter, do you have an estimate on CapEx for the filter and after it's implemented? Next year. How much potential do you see for a capacity increase in Aripuanã? And the second question here, Jose, who passed in as you mentioned in the call, the project is moving ahead. First phase was approved, and second phase studies should be complete. Completed in the second semester. I just wanted to question any additional details of the project, CapEx, if you see any risk for startups, and more details on finance, it will be helpful. Thank you.
Operator: Pardon me. This is the conference operator. I believe our speaker lines are muted.
Ignacio Rosado: So I don't know if you can listen to me now. I was telling you that total CapEx of Pasco is around $140 million. $85 million comprises the implementation of wind spamming system of El Porvenir to Atacocha. What happens here is that the life of mine or the tailings dam El Porvenir is getting towards the end of its life of mine. The idea is to pump all these tailings to the Atacocha dam that has many, many, many years going forward. This is, as I said, a project cost $85 million and the rest of the CapEx comprises the interconnection of the two mines in the underground. This is very important because it will allow us to access all these resources that are in Atacocha, that we will be able to extract them through that infrastructure of El Porvenir. And for that, not only do we need the interconnection of the two mines by ramps, but also upgrading the shaft of El Porvenir to accommodate also the ore of Atacocha. So this project is between two and three years already approved the pumping, as we said. This pumping is gonna be for two years. We are starting the civil works in the second quarter. Of the pumping, and we already ordered some equipment. So in the next year, this will finish. And then in parallel, this upgrade of the shaft and interconnecting the mine will come probably in 2026 depending on how the studies go. That is regarding Cerro Pasco. Really, an important app is very difficult to project EBITDA or cash flow. Because it will depend on prices. I will tell you this. The Aripuanã project has been a very difficult one. To implement. I mentioned this many times. There were several factors that involve the some froze on the implementation of the project COVID, and isolated area to develop this project. So the project in 2024 really advanced in terms of operational performance. But the problem is that we have a mainly a bottleneck in the tailings filters. Because the capacity of the three filters that we have is not taking us to 100% of the product. So to give you an idea, we can in the dry season, we can have 140 to 150 thousand tons but the capacity could be 170 to 180. You don't know this until you stabilize the operation and we it as only June 2024. Having said that, in October, we're starting to do all the tests to order a different filter. It's a filter that is from a different provider a more automated filter and the capacity of the four filter is much higher than the rest of the three. So the idea is we order already that filter. It's not an easy implementation because it's a new area and that has a lot of civil works and infrastructure. So towards the end of the year, we will have the filter in the area and then the commission, as we said, is gonna be during the first quarter of next year. With this additional filter, we will achieve the capacity. So when we tell the market that let's say, the projection on production on Aripuanã has delay a year. This is mainly because of this. And, I mean, it's difficult for us to digest this because these were filters that were ordered many years ago. These were filters that don't have a capacity and didn't perform. But the good part is that in 2026, we will be at full capacity. And having all this upside on exploration on the resources that we have today, this new mine is gonna be very profitable going forward. So we have to look forward at a, as I said, it was a difficult project to build, but we are towards the end of these stages. And 2026 is gonna be much better than this year. What I can say in this year is that we will have positive cash flow and the area that EBITDA is gonna be positive as well. And we believe that it's gonna be higher than in 2024.
Operator: The next question comes from Carlos de Alba with Morgan Stanley. Please go ahead.
Carlos de Alba: Thank you very much. Good morning. And I guess, just to confirm what you just said at the end of the last answer, do you expect Aripuanã to have positive EBITDA in 2025 and be higher than 2024? Did I get that right?
Ignacio Rosado: Yes. Yes. And this is, I would say, simple mathematics. We will have a higher production that costs are still high because we are not diluting fixed cost in this throughput limitation of the throughput. The costs but the costs are gonna be lower than in 2024. The production is gonna be higher. CapEx should be similar. The new filter is costing us $14 million more or less. But, yes, with these prices and the that we have and with the CapEx, yes, we believe that EBITDA and cash flow should be higher than in 2024.
Carlos de Alba: Right. Makes sense. Alright. My second question is regarding the dividend policy. I just wanna make sure that I get what it means basically is to a minimum of 20% so not a minimum, but a 20% of free cash flow with a minimum payment of eight cents per common share. And so, basically, if I just look at our forecast of cash from operations, minus CapEx that amount, that free cash flow times 20% is what you will pay. Is that right?
Jose Carlos Del Valle: Sure. Hi, Carlos. Good morning. Yes. The minimum is eight cents per share. So what we wanted to do is well, first of all, as you know, we have this new policy that we have already approved and it's eight cents per share. So that we put a floor on the dividend payment, but in a way that is transparent and more predictable. And the idea will be to pay 20% based on the cash flow that we generate each year, which is basically after sustaining capital. So we pay 20% on that free cash flow that internally we call pre-events. You would have a more predictable and consistent dividend flow over the years, and this is effective as of 2024 results.
Carlos de Alba: Okay. So basically, it's the cash from operations minus your sustaining CapEx. 20% of that.
Jose Carlos Del Valle: Right.
Carlos de Alba: Well and what is the CapEx the sustaining CapEx that you're expecting for 2025?
Jose Carlos Del Valle: This year, we are about $270 million in 2025. Is that plus what we have on Cerro Pasco because, you know, the data is pumping system is part of a is part of the sustaining CapEx. If I remember correctly, it's about $330 million. So that will be a slight change compared to the capital we have in 2024. And, obviously, what we have to into consideration is that we don't know what prices are going to be in 2025. But assuming that we have prices that are similar to 2024 and based on the improved performance that we expect from Aripuanã and the continuous improvement from our operations. We expect a positive trend in our cash flow generation going forward. So therefore, that should then benefit the areas that we're going to.
Carlos de Alba: Fair enough. So the and the so the total sustaining CapEx expected in 2025 is around $330 million. Right. I can I can double I can confirm that number?
Jose Carlos Del Valle: Yeah. But, yeah, it's around that neighbor.
Rodrigo Cammarosano: Right. Jose, so sorry. This is Rodrigo here. Just confirming the sustaining CapEx for 2025 is gonna be $316 million. Right? This is the number that we released in our guidance. On the beginning of February.
Ignacio Rosado: Three six zero.
Carlos de Alba: Three six zero. Okay. Three one six. Three sixteen. Three Okay. Three one six. Okay. Good. Alright. Alright. Excellent. And then my last question, is on working capital. Obviously, big swings, you know, throughout the year. How should we think about working capital in Q1, like, Q2, Q3, Q4, just given how significant the volatility is?
Jose Carlos Del Valle: Yes. I can comment on that, Carlos? We don't expect a different trend from what we saw in 2024 and 2023. There is a seasonality in how our working capital behaves throughout the year. But on average, going forward, I would say that it will be safe to assume that working capital effects should be close to neutral on an annual basis. However, you would we would still see that volatility quarter to quarter as we have seen in the last.
Carlos de Alba: Okay.
Carlos de Alba: Yep. That's clear. Thank you very much, Ignacio, Jose Carlos, and Rodrigo.
Jose Carlos Del Valle: No. You're welcome.
Rodrigo Cammarosano: We will now take questions from the webcast.
Operator: I'd like to hand the call back over to Rodrigo.
Rodrigo Cammarosano: Thank you, operator. We have some follow-up questions from the audience here in the web. So I would start with the one well, Ignacio already mentioned about the four fifty nine ninety point nine. So there's one question from Henrique from Morgan Stanley. So terms of adding more color and why the developing the fourth filter now. So I believe that this was already answered. So and there's another question one question from Heron. Kuleslik from MetLife. So what should we expect in terms of cash flow generation for 2025? And what are your plans for capital, Casey? Jose, can you address this one?
Jose Carlos Del Valle: Yes. Yes. Mean, we have somehow already addressed the cash flow question. I mean, without knowing exactly what prices are going to be, our expectation is that our performance is going to continue to improve. 2025, even though we won't have the a Wi-Fi filter in place yet, there is an expectation that the performance there will be better. We always have this constant initiative to control our costs. As you remember from 2024, we were within guidance. So on those aspects that we control, we expect that we will have better performance, and depending on prices, prices are better. Obviously, that will translate into better cash flow generation. So the expectation is positive. In terms of capital allocation, I think we have mentioned before that we have a very clear strategy of, obviously, first, focusing on extending the life of mine of our mines. Secondly, I would say the reduction of gross debt is not just a matter of reducing leverage or net debt, but also reducing gross debt so that we can also reduce our interest expense obligations. And then we also have this newly approved dividend policy so that we can also provide a consistent return to shareholders over time. So I would say that those are the features.
Rodrigo Cammarosano: Thank you, Jose. We have one question from Omar. From Compass Group. So, actually, there are three questions. The first one is, is there any other asset you are willing to sell? The second question is regarding Aripuanã. What is the cost of the additional filter? And when do you expect the plant to work at nameplate capacity? And the last question is to comment on the status of Magistral project.
Ignacio Rosado: Yes. So as we said, we sold mostly all only assets that we wanted to get rid of because there were no transformational assets. There were small assets for us. And that part of the strategy is to make sure that we that the four mines that we have get developed increase the life of the mine, and we operationally execute them in the best way possible. But the growth will come from a new project that we have to look for in terms of M&A. Has to be a brownfield advanced brownfield project or a producing mine. As we said before, mainly copper and zinc. So we are not willing to sell any other. Or I already said that the additional cost is $14 million. The full capacity will come in the second quarter of next year. I mean, and regarding Magistral, as we know, the mayor was disapproved. Environmental impact study was disapproved. It wasn't it was disapproved because the community we had problems with the community, especially in the pandemic. That blocked all these roads and all these areas, and there were some processes not allocated to Nexa. Now we are negotiating with the that is the entity from the government on what are our next steps. And this is gonna take some months. Having said that, we are still very interested in Magistral. But Magistral, as we already said also in other calls, is a project that has to compete with other projects that we might have in our radar because, you know, wanna make sure that we build the most profitable mine. So Magistral has to compete in that regard. We will update the market in these conversations and negotiations with the authorities. And we believe, as I said, that they will come in the next months.
Rodrigo Cammarosano: Thank you, Ignacio. We have one question from Rodrigo Murietta from AFP Integra. So based on the guidance provided at the beginning of February, El Porvenir and Atacocha for the midterm. Are including a part of the Pasco integration project mineralization in the guidance. Hi, Rodrigo. Thank you for the question.
Ignacio Rosado: We are not considering yet of the integration area. The guidance considers only the reserve base that we have currently. And we expect to publish some resources by this year and to convert into reserve by next year. And then you can assume a part of it in our plan.
Operator: This concludes our question and answer session. Now we will hand the call over to Ignacio for his final remarks.
Ignacio Rosado: Thank you. Thank you very much all for attending this call. We appreciate very much your interest in the company. We had a very good 2024 year regardless of the problems in Aripuanã. I still we still believe Aripuanã is gonna be a fantastic mine going forward. We are very committed to our challenges to achieve our challenges for 2025. 2025 is gonna be still a challenging year, but we have a very important group of people committed and clear in the strategies that we have to follow. Thank you very much, and we look forward to speaking to you in the next in the close, you know, the first quarter of 2025. Have a great weekend.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.